Operator: Good afternoon, ladies and gentlemen. Thank you for standing by. Welcome to the December quarter 2007 financial results conference call. During today's presentation, all parties will be in a listen-only mode. Following the presentation, the conference will be open for questions. (Operator Instructions). This conference is being recorded today, January 24, 2008. I would now like to turn the conference over to Carol Raeburn, Senior Director of Investor Relations. Please go ahead ma'am.
Carol Raeburn: Thank you, operator. Good afternoon, and welcome to Lam Research Corporation's December 2007 quarterly conference call. Here today are Steve Newberry, President and Chief Executive Officer, and Martin Anstice, Chief Financial Officer. Today we will discuss limited financial results for the quarter ended December 23, 2007, and our business outlook for the March 2008 quarter. A press release detailing our financial results for the December 2007 quarter was distributed by BusinessWire at approximately 1:05 PM and is available on our website at www.Lamresearch.com. Today's call contains forward-looking statements, including those related to revenue and shipment forecasts, customer demand and industry conditions, as well as statements that express the company's expectations, beliefs, plans, and forecasts. There are important factors that could cause our actual results to differ materially from those discussed in these forward-looking statements. Additional information concerning factors that could cause results to differ can be found on our report Form 10-K for the year ended June 25, 2006. This call is scheduled to last until 2:30 PM and we ask that you please limit questions to one per firm. With that, I'll turn the call over to Martin for a review of the December quarter.
Martin Anstice: Thank you, Carol. This afternoon, we will provide a brief synopsis of full year performance, discuss our December 2007 quarter financial results and then present some perspective related to the auctions review and the intended acquisition of SEZ. Highlights of the 2007 calendar year. We increased the cash balance of the company before stock repurchase and debt repayments by approximately $710 million representing 27% of revenues, while at the same time funding our adjacent market growth strategy. Our shipped market share expansion delivered revenue growth of 19% and shipments growth of 8% against the scenario we presented earlier in the year of 15% to 20% revenue growth and 5% to 10% shipments growth, calendar year 2007 over 2006. We executed our plan in the first half of the year to return excess cash to shareholders repurchasing $19.7 million shares. Highlights of today's reported earnings in the December 2007 quarter include shipments of $593 million, slightly above our guidance range down 4% sequentially. Revenues of $610 million with a reported gross margin of 50.4% of revenues and ongoing operating income performance of 27.5% of revenues, all exceeding are previously communicated expectation. Gross cash in short-term investments were $1.3 billion. Turning to the specific, 300 millimeter application represented approximately 85% of total etch system shipments. And applications that are less than or equal to the 90 nanometer technology node represented 90%. Memory segment customers in the quarter represented a very strong 80% of total etch system shipments with the NAND's components accounting for approximately 41% of the total memory. Logic/other was 14% and foundry was 6% of the total. At December quarter ongoing operating income of 27.5% was stronger than the 25% guided, because revenues were slightly stronger predominantly in memory. In addition, to the volume benefit, the combination of more favorable mix, the one time benefit of selling some non-core intellectual property, some run rate benefit from system warranty and installed base performance reserves together contributed approximately 1percentage points to gross margin and more than 1 percentage point to operating income versus our guidance. For more complete details on the geographic breakdown of shipments and revenues, please see today's press release and the website for reconciliation of shipments revenues, deferred revenues and cash. Ongoing operating expenses for the company were a $140 million in the December quarter, as we continue to invest to support our etch and adjacent market growth plans. Our total net cash balance including restricted cash was slightly more than $1 billion at the end of December. Accounts receivable, collection performance had a DSO of 66 days. The deferred revenue balance was $230 million, up by 2% sequentially. In addition, there is approximately $41 million of anticipated future revenue value from the previously made shipments to Japanese customers. In the quarter, there was no stock-repurchase activity by the company. The total shares outstanding which is intently a reasonable proxy for our basic share accounts with approximately $125 million shares at the end of the period. Our own capital expenditures were $24 million, depreciation and amortization was $11 million. We received $3 million from the exercise of employee equity plan, head counts was more or less constant at slightly less than 3000 employees at the end of December. The stock option review continues to move ahead and in that context you will remember we concluded in a positive, a financial statement and on the life determination just before the holidays. In the near term, we had important meetings scheduled with our special committee and our board of directors. Accordingly our current plan is to provide an update in a couple of weeks from now on our expectations to get incurrence with fillings. We incurred a further $6 million in cost associated with this review in the December quarter and did expect an additional $3 million in the March 2008 quarter. Related to our intended acquisition of SEZ, we received approval for the transaction from the Scripps take of aboard in early January. The competitive SEZ window closes in February. In early February, we are targeting deal closing in early March. According to these assumptions, we will be consolidating less than one month of SEZ performance in our March quarter financials. Because the initial tender period is still open and the terms of the transactions are still outstanding, we are not incorporating any SEZ financial in our guidance today. Included in our limited financial statements presentation today however, specifically in other income and expense, we incurred a non-operating mark-to-market expense of $7 million related to hedging the Swiss franc purchase price of the acquisition at a cash cost of $10 million. Due to currency movements through the end of the December quarter, the U.S. dollar acquisition price has reduced by $14 million from our deal announcement number. In addition, unassociated with the acquisition in the coming weeks, we plan to repay our $250 million offshore debt and borrow $250 million in domestic debt, simply to facilitate having cash in the U.S. jurisdiction for the purchase. As we stated previously, we are targeting that the acquisition be marginally accretive to earnings in the first year. Now to Steve's comments.
Steve Newberry: Thank you, Martin and good afternoon everyone. As Martin indicated, Lam finished 2007 on a strong note marked by better than forecasted revenue and shipments, strong cash generation and continued demonstration of our ability to win and retain market share in etch. We produced record calendar year revenue of $2.62 billion, up 19% over calendar year 2006. And based on our preliminary internal assessment, we ended 2007 with a 48.5% shipment-based market share in etch, up from around 46% in calendar year '06. This performance represents significant progress toward achieving our objective to build Lam into a $4 billion solid revenue company by the 2010 timeframe. We believe that target is achievable, not only as a function of our continued leadership and sheer expansion in the etch market, but also the progress we are making with our strategy to leverage our technology knowledge and capability space to expand in the market adjacent to etch. 2007 was an important year for the company, as we released three new products in the market. Our 2300 Motif patterning tool, our 2300 Coronus bevel cleaner and our new single-wafer linear wet-clean tool. All of which are receiving very positive customer reception. We also shipped our first 3-D IC tool, name Syndion into a JDP with the leading-edge memory company and expect to ship Syndion tool into additional JDPs throughout 2008. Our analysis of trends in semiconductor manufacturing indicates the single-wafer wet-cleans are becoming increasingly critical processing steps necessary to achieve successful production of leading-edge memory and logic integrated service. Our adjacency in etch makes the clean segment the key target for us and now was an opportune time to increase our presence in this market. On December 11, 2007 we announced our intent to acquire the SEZ Group, we believe that the growth opportunities in single-wafer wet-clean and bevel clean applications are greater than for the wafer fab equipment industry as a whole and together Lam and SEZ have the opportunity to establish a world-class leadership position in terms of technology differentiation, market share and profitability in the clean segment. We are investing in a great opportunity to leverage our existing edge technical knowledge base along with our Confined Chemical Cleaning capabilities with the advanced high-productivity products from SEZ in order to provide the broadest and most comprehensive superior etch strip and clean solution to meet our customer's increasing productivity and yield challenges. SEZ, with its proprietary Spin-Processor wafer cleaning technology, as a broad technology base solution portfolio and the largest install base globally in the single-wafer segment. This segment is one that we think will represent a firm of over $1.2 billion for the combined companies by 2010. In short, Lam and SEZ make for a unique combination of established market share leadership combined with complementary leading edge technologies providing high potential for attractive return profile and additional contribution to the Lam's strong cash generation capability. Turning to the overall industry environment. It is clear that everyone's focus is around the current stage of the cycle, how that relates to expectations of customer spending for wafer fab equipment in 2008. Since relapse of the U.S. economic landscape has altered considerably and there is general uncertainty globally on our key economic drivers. While current signs still point to relatively healthy growth in IC unit demand for 2008, we expect that profitability issues in the semiconductor industry will limit the rate of additional capacity expansion until IC unit supply and demand is brought back in the balance. In DRAM, pricing continue to decline throughout the last quarter and may at last be beginning to stabilize at its current low levels. Bit content in PCs continues to increase as PC makers capitalize on the low price environment. However, excess supply has driven DRAM pricing to levels below what is necessary, remaining DRAM manufacturers who support future investments and we don't expect that this environment will change much through the first half of the year. Over the past year, we have seen very significant capacity expansion in DRAM resulting in an excess supply relative to demand of approximately 80,000 to 100,000 wafer starts per month by the middle of 2007. And even though in the second half of 2007, we saw roughly a 20% reduction in the rate of new capacity investment relative to the first half of 2007, it is believed that the industry exited the year with approximately 50,000 to 70,000 wafer starts per month of excess capacity relative to the real demand. As a result, pricing declines continued through calendar year end which led to accelerated and significant operating losses for many memory companies. We are forecasting roughly 20% to 25% unit growth for DRAM in 2008 and with the currently expected 40% additional reduction in capacity additions in the first half of 2008 versus the second half of 2007, we expect the supply and demand balance to improve significantly in the second half of the year. Comparatively, pricing in the NAND market reflects a more balanced supply and demand environment at June 2007. While NAND pricing was following a typical earlier pricing declines due to the seasonal nature of the segment, we expect its relatively healthier supply demand balance to remain in place in 2008. Within capacity expansion, activity in NAND in the first half of 2008 should be roughly flat with the second half of 2007 which was a strong period of expansion relative to the first half of last year. This expected capacity expansion activity is supported by forecasted NAND unit growth of greater than 40% for calendar year 2008, driven by demand factors such as growth of multimedia phones, migration to higher density MP3 players, etcetera. We are also seeing the emergence of solid state drives in the upper end of the notebook markets and as the performance in rate benefits of products incorporating SSD become clear, the notebook industry's move to this technology should accelerate. We continue to take a positive long-term view of market drivers in foundry, which we believe is nearing the end of a CapEx holiday. Delays and anticipated foundry spending have been caused by the foundry's ability to meet increase IC unit demand with existing under utilized capacity. Foundries exited 2007 running at about 93% capacity, which is well above the normal seasonal trend and the current outlook for growth in wafer starts to get that foundry utilization to be approaching 100% on the second half of 2008. We think this makes investment in new capacity additions inevitable. However, the timing of new investment is uncertain due to short lead times in the supply chain for wafer fab equipment. Looking ahead, we anticipate that further growth in foundry investment could result from the increasing trend in outsourcing by larger IBMs as well as closer to more market over the next several years. The current economic and market uncertainty combined with industry supply and demand fundamentals, clearly point to a decline in wafer fab equipments spending in 2008. The question is how much? We are probably looking at an annual decline of at least 10% compared to 2007 and that could range up to 15% depending upon how the global economics situation unfolds and how that impacts consumer demand. We have stated on several occasions that lead time for our business are becoming increasingly short and our customers now have the ability to adjust quickly to changing market conditions. This limits visibility in a volatile economic environment, and make it's difficult to provide necessity around the longer term investment plans of our customers. With respect to our outlook for Lam Research. I'll focus my commentary on the March quarter and share some perspective on the first half of the calendar year. We expect revenue for the March quarter to be in the range of $600 million and $620 million compared with the December quarter. We anticipate our shipments will be in the range of flat to up 5% relative to December and within that shipment forecast is an expectation that our non-shipment growth will largely offset weakness in DRAM, and while foundry should show an increase in wafer fab equipment selling growth in the second half of 2007. We now expect shipments for the first half of calendar 2008 to be flattish relative to second half of calendar 2007 and revenue should follow a similar trend. Gross margins are expected to be approximately 47.5% plus or minus a percentage point in the March quarter, owing to customer mix impact relative to our December quarter acceptances as well as some near term pricing pressure from customers who are facing significant profitability challenges and continued pricing pressure in sales and consumables as customers strive to lower operating cost in their basket. On the operating expense line, we have a typical seasonal acceleration of employee benefits and related payroll tax expenses as the new calendar year brings as well. At the timing of certain investments we are making in R&D. These factors taken together suggest that operating profit will be approximately 24% of revenue, plus or minus a percentage point. Many of the factors affecting our outlook for growth and operating margins are unique to the March quarter, for portions of the first half of the year. As the year progresses we expect gross margins to begin to trend that up to approach more typical levels and operating margins to improve by a point or two. As mentioned earlier, we anticipate that the June quarter will be the fully consolidated quarter including the result of the SEZ Group. Therefore we would expect to provide more color of that how SEZ fits into our P&L and our outlook for Lam in total on our March quarter conference call. In closing, I continue to be pleased with Lam's operational and financial performance. In calendar year 2007, we achieved new records for the company in terms of shipments, revenue and etch market share. This exceptional performance is a function of our demonstrated production-proven technology and our commitment to the fast customer solutions. In 2008, we plan to continue to strengthen and grow our leading market share position in etch; accelerate our activities associated with successfully penetrating adjacent new markets that affectively integrate SEZ into the company. As always, I want to extend my appreciation and thanks to Lam's employees around the world, who continue to demonstrate the willingness and ability to meet the ever-increasing needs of our customers and ways that continue to set the standard of excellence in our industry. Now, we'll open the call for questions.
Operator: Thank you, Sir. We will now begin the question-and answer-session. (Operator Instructions) Our first question comes from Satya Kumar with Credit Suisse. Please go ahead.
Satya Kumar: Yeah, hi Steve, thanks. It sounded like you were noticing a pretty different sort of environment in the pricing, a flat shipment, its operating margins were going almost 250 basis points. Is there a more to the pricing equation than just customers' profitability? Is there any change that you are seeing on the competitive environment?
Steve Newberry: Well, I think that, as Martin had talked about that, while we came in at 50.4% on a normalized basis without some of the extraordinary one-time activity just close to the 49%. So, a 47.5%, it is down, another point and a half. And I mean, there is a no question that when you get into downturn type environment, there is a combination of competitive pricing pressures, there is a combination of customer profitability pricing pressure, and there is combination of spare parts and service and consumables pricing pressure. So, I think, that there is an element of that that's present in the 47.5% margin guidance. But there is also a very prominent mix issue for us in the March quarter, where we have a very heavy concentration of shipments to one particular customer and that's contributing to some of the margin pressure as well.
Operator: Our next question comes from C.J. Muse from Lehman Brothers. Please go ahead.
C.J. Muse: Yeah, good afternoon. Hoping to sneak into, if I may. I guess, first question, in terms of your outlook now for CapEx down 10% to 15%, what kind of assumption are you making there on the NAND front, considering that we are beginning to see some signs of push-outs on that front? And then, I guess secondly, just to follow-up on the pricing pressure question, you did mention that one-time customer affecting March, and within the guidance you've talked about a recovery in the June and beyond that timeframe. I guess, what gives you the confidence aside from that one-time customer that pricing pressure will only be a short-term issue? Thank you.
Steve Newberry: Yes, I'll talk about the NAND aspect of things and Martin will comment about what we see going forward relative to margins. So, clearly when you look at what's going on in the industry, you have both activity in the near-term that has resulted in customers changing, what their planned deliveries were for the first half of the year, largely in DRAM. But also as you point out in NAND, I think, the issue is though, that when you look at the still planned investment in NAND that it's -- at one-time it was probably going to be up in the first half of '08 versus where we were in the second half of '07, now it's kind of flattish. But I think it's important to recognize that, what's happened in NAND is that when you look at the second half of '07, second half of '07 was a significant increase in NAND investment and so forth. For the first half of '08 to be flat, I think that's a good indication that there is still a need for additional capacity investment and there is still anticipated strong unit growth for NAND, in our case we forecast about 40%. So, I'll let Martin talk about the margins.
Martin Anstice: Down the margin, I mean, I think Steve kind of delivered the headline. Certainly in the progression or the regression of gross margin percentages, December to March, it is almost exclusively a mix story, and I have to say in my tenure in the company, we have not seen the type of mix impacting gross margins that we see here that really is, customer makes the way. And mix is everything as you know when you have a business that has 20 significant customers, plus or minus five or ten. The mix of business and the mix of products achieved to purchase really do define the economics of the company. Our current expectation based on the view we just talked about and based on the mix that we are approximating today is that, the gross margin pressure that we are describing on our guidance for March is a more of an aberration of one quarter. But at the end of the day, until we really see the mix that prevails in the quarter of June and beyond, it's difficult to be absolutely precise for that comment but that will be the general impression that we would have and communicate today.
Operator: Our next question comes from Harlan Sur from Morgan Stanley. Please go ahead.
Harlan Sur: Alright, great, thank you. Nice stuff on the quarterly execution guys. So, Steve back in the October call you expected 12 application wins, while the 2007, maybe you can update us on those numbers with the year behind us? And then, really quick follow-up, does the downward revisions in your WFE spend outlook this year change your 2010 assumptions were $4 billion in revenues for Lam?
Steve Newberry: Okay. Let's talk about application wins and losses. From a segment standpoint, in dielectric we had a 16 new net application wins in the year, in memory. We had three more dielectric net wins in foundry. And we had two losses relative to our PTOR positions in the logic space. So, our overall net per dielectric wins were 17 and in conductor, we had 11 new net wins and we had a couple of losses in metal which we have talked about before, where we decided to walk away for some business because of pricing aspects. For the overall perspective, it's about 5 percentage points of market share gain in dielectric, and essentially that puts us in a dead heat with Tokyo Electron, which has historically been for many, many years the dielectric market share leader, and we calculate that, both of us are sitting at about 41% for dielectric. Our market share in silicon for the year was essentially flat at about 59% and we lost a little bit of market share in metal but we still control more than 61% of that. So overall, our market share for the year at 48.5 and I think when you look at those application wins it would have been even stronger but the mix in terms of where customers spent money in 2007 actually had a slight negative drag on our overall market share. You are better one year, you are a little bit less in another other year. But overall, we still have been able to grow share at the next technology note where we currently are at 50% on the 65 nanometer node. So talking about our ability and the potential impact of what's going on with WFE in 2008 relative to what's going to happen in 2010, we still believe that the long-term secular trend for IC unit growth, both in memory, logic and the resultant demand on foundries, is going to require that there is a significant amount of additional spending for wafer fab equipment. We think that the low end of that range is probably somewhere in $124 billion to $134 billion needed to be spent from 2007 to 2010. So if we spent $31 million in 2007, we need to spend another $103 million to maybe as low $93 million, $94 million. And if we are down 10%, 15%, let's be conservative and say we're down 15%, so we spend maybe $27 million in wafer side equipment which I think is down about $14 million. Then, what it says is we still need to spend somewhere around $70 billion to $75 billion in wafer fab equipment in 2009 and 2010. I think that in order for us to get the $4 billion, we would look to see wafer fab equipment market somewhere in the $38 billion to $40 billion range in 2010. And if that's the case, I think with our etch market share projections, with our expectation for the additional revenues that we will generate out of our adjacent market expansion strategy, that we still believe it's very likely that we will achieve the $4 billion target in 2010.
Operator: Our next question comes from Patrick Ho of Stifel Nicolaus. Go ahead please.
Patrick Ho: Thanks a lot. I've got one quick house keeping question, and then a question for Steve. I don't know if you can give out this information, given the ongoing investigation about the cash flow from operation in the quarter. And you've discussed in the past that you expected to ship $80 million worth of your new products. Can you give us a status of the revenue timing of that? And does the impact of these new products being recognized as revenue have any impact on the margins in terms of the mix that you were talking about?
Martin Anstice: I'll take at least two thirds of that question. Relative to cash from operations, as your question hypothesized, I cannot directly answer the question. But what I'll try to do, Patrick, is kind of at least characterize for you about the elements of kind of cash to the company. And so in the December quarter, the cash balance of the company was essentially kind of neutral, and there really wasn't any kind of capital finance activity in terms of stock repurchase or cash coming in on option exercise. There's a little bit, but essentially it was the neutral cash story which implies therefore a fairly neutral operational performance, but I can't be specific about that number. And one of the most obvious reasons for that is the extremely strong performance in the September and June quarter. In June, we reported, I recall, over $280 million of cash from operations. I have the same reporting challenge in September as I have in December. But again, the cash balance of the company increased in the September quarter by more than $200 million. So you've got, again, in the context of where we try and set our objectives on cash, if I take out, as I did in my commentary earlier today, the impact of stock repurchase and the impact of debt repayment in the full year, that cash number represents about 27% of revenues. Relative to kind of the revenue elements on new products, I wasn't sure if your question was a 2007 question or 2008. What I would say, presuming it's a 2008 question, is that we obviously are targeting revenues in the 2008 timeframe. Unless Steve chooses to in the second year, we haven't been specific about that yet. I would say relative to the margin element of new products, we've been fairly specific about our targeting ambition. So we kind of said we are targeting in the range of 40% to 45% margins for new products in that first year. And I would say, in general, we're probably biasing much closer to our etch performance. And so, I don't think from a corporate financial performance point of view, there is really any impactful story on gross margins for new products.
Steve Newberry: I think, in addition, you asked about the $80 million in new products equivalent shipments. And in terms of the total products that we put out, we were right around that number. The timing of how those shipments ultimately convert to revenue is a play out at different point in time. Some have already been taken to revenue. Most by far occur in the first couple to three quarters. As we go forward in '08, we'll speak more to some of the specifics around what's happening to new products. But primarily from a margin standpoint, what Martin said is right, and there is a couple of reasons for that. One, what we're providing, and particularly relative to our bevel cleaning product and in our Motif patterning tool, is a set of capabilities that are very much targeted at enhancing customer yield issues. And in the case of our Motif patterning tool, we were really talking about helping customers with their very significant lithography patterning issues. And so, these products bring a very significant value-added result capability for the customer. So, therefore, the margins that are being achieved by these products are consistent with the margins that we typically generate in the etch business. And then, clearly, as we go forward in 2008 and we integrate SEZ into what we do and we begin to increase the volumes of our C3 cleaner, we will clearly be operating an arena that for most of the players the margins are lower than what we operate to. And clearly, one of the things that we're going to focus on is where the opportunities for us to look at bringing some cost efficiencies and productivity capabilities, as well as how can we bring some differentiated yield enhancement capability into the critical clean applications and deliver products overtime that have an improving margin profile in clean.
Operator: Our next call comes from Jim Covello of Goldman Sachs. Go ahead please.
Jim Covello: Hi, guys, good afternoon. Thanks for taking the question. Steve, the question is just around DRAM. And really, if we think we are through the worst of the capacity add, so that we can set up for a better second half of the year. I don't want to put words in your mouth, but that certainly seems to be your point of view. But if I look at the CapEx as a percent of revenue and DRAM on a quarterly basis, we are pretty much at the highs of the cycle almost in Q1 of '08, which would imply that we are still bringing on a whole bunch of supply right now. And is that consistent with your analysis or where do you think I could be wrong about that and what do you think that could otherwise imply about the second half?
Steve Newberry: (inaudible) to DRAM, but I think that for the industry right now that they've just spent the last six months with significantly negative operating profit numbers. They've got to get supply and demand back in sync. I think that the nice thing about memory is that with unit growth being as strong as it is, if you end up with strong cutbacks, which we're seeing in DRAM, coupled with strong unit growth, the speed at which you can get supply and demand back in sync is pretty quick. And that's why I am relatively optimistic that we'll see supply and demand to get back in sync somewhere around the middle of '08.
Operator: Thank you. Our next question comes from Steven Pelayo from HSBC. Go ahead please.
Steven Pelayo: Yes, Steve, just the follow-up on the last one there. What are your expectations now for foundry and logic spending in your WSE down 10% to 15% assumption? And then when you look out into the March quarter, you had shipments going to memory. Where do you think that moves going into March quarter? And do you think foundry has been running -- I guess now it's single digits or so percentage and starts to pick up here. When would that happen?
Steve Newberry: Let's talk about foundry and logic a little bit. I think one of the things that we've all watched very carefully was what was the rate of investments in equivalent for foundries in the second half of '07. And it was relatively minor. And what we came to understand was that what a number of the foundry companies were doing was really working on driving up their overall utilization levels to much higher than what they normally would before they would reorder. And so, one of the interesting phenomenon in 2007 was that the industry started the year at about 80% utilization, ended the year or started 2008 at about 93%. And so, what we are seeing now is that the first half of '08 that wafer type equipment shipments into the foundries are going to be up fairly significantly relative to what the shipments were in the second half of '07, I think somewhere around maybe even a 100%-plus increase in shipments in the first half versus the second half of '07. And I think that what that is indicative of the fact that with utilization rates running so high, that they're running out of runway in terms of how much longer they can run without having to make investments in additional capacity. And so, I kind of view that for the year overall. So, we're likely to see foundries be up somewhere around 25%, maybe 30%. And I think that when you look at the logic, I think that logic is likely to be relatively flat. I think that at one point, we thought logic was probably going to see some increased investment in 2008, but I think given the economic environment, maybe we'll be a little bit more conservative on that. And so, I would say it's going to be relatively flattish year-over-year. And then what was the other part of the question that you asked?
Operator: Sir, I'd like to now turn the conference call back over to management now for any closing comments.
Steven Pelayo: I think the question was March segmentation for memory, second.
Steve Newberry: Okay. So, let me respond to that last about the segmentation of memory. So what you have in March is that the total amount of shipments into memory as a whole is slightly down, not dramatically, but probably somewhere in the 70%, 74% range. And the reason for that is while DRAM is down pretty significant, NAND Flash is up pretty significantly, and they are pretty much offsetting each other. And then other memory, which is SRAM and NOR, et cetera, it's down a little bit. And so, I think that what we are seeing is that memory as a whole is down a little bit, and then you have some strengthening in foundry shipments and you have some weakening in logic shipments. And that's kind of the makeup of the March quarter.
Steven Pelayo: Just to be clear, it's Steven, the 74% that Steve gave is the percentage in memory of total etch shipments in the quarter.
Carol Raeburn: That concludes our call for today. I would like to thank you for joining us. Please be advised our next regularly scheduled quarterly earning call is set for April 16th at 2:00 p.m. Pacific Time. I hope you would join us then. And thank you for participating.
Operator: Ladies and gentlemen, this concludes the December quarter 2007 financial results conference call. You may now disconnect. Thank you for using AT&T Conferencing.